Operator: Good day, ladies and gentlemen, and welcome to the Summit Hotel Properties, Inc. First Quarter 2017 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, today’s program is being recorded. I would now like to introduce your host for today’s program, Adam Wudel, Vice President of Finance. Please go ahead.
Adam Wudel: Thank you, and good morning. I’m joined today by Summit Hotel Properties’ Chairman, President and Chief Executive Officer, Dan Hansen; and Executive Vice President and Chief Financial Officer, Greg Dowell. Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown, as described in our 2016 Form 10-K and other SEC filings. Forward-looking statements that we make today are effective only as of today, May 4, and we undertake no duty to update them later. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call on our website at www.shpreit.com. Please welcome Summit Hotel Properties’ Chairman, President and Chief Executive Officer, Dan Hansen.
Daniel Hansen: Thanks, Adam, and thank you all for joining us today for our first quarter 2017 earnings conference call. We are very pleased with the strong earnings performance at our portfolio delivered in the first quarter and the continued success we’ve had with high-quality acquisitions, as well as opportunistic dispositions. As a whole, our results came in largely as expected. For the first quarter, we reported adjusted FFO of $30.2 million, an increase of 6.7%, as compared to the first quarter of 2016. Our adjusted FFO of $0.32 per share came in above the high-end of our guidance range of $0.29 to $0.31 per share. The beat was primarily a result of Hospitality Investors Trust formally known as ARC Hospitality repaying their outstanding loan to us, which resulted in PIK interest recognition in the first quarter rather than what was anticipated to be in the second quarter. On a pro forma basis, we reported RevPAR growth of 1.5% for the quarter, which was entirely rate driven. As we mentioned last quarter, 2016 capped off five consecutive years of Summit exceeding the Smith Travel Research upscale RevPAR growth rate, and we did so again in the first quarter of 2017 by margin of 50 basis points. Strength in RevPAR growth is evident in a number of markets across our portfolio, with the largest outperformers being Austin, Portland and New Orleans. Our Hampton Inn & Suites in Austin had a great quarter and was able to capitalize on the strong citywide events, posting RevPAR growth of 14% and gaining considerable market share while doing so. In Portland, our Residence Inn by Marriott and Hyatt Place continue to be superstars, benefiting from fresh renovations and a favorable supply and demand dynamic. During the quarter, these two hotels also delivered 13.5% RevPAR growth and experienced a combined hotel EBITDA margin expansion of nearly 300 basis points. Lastly, our five hotels throughout the New Orleans market generated RevPAR growth of 9.5%, as compared to 8% for the overall market. This strength was driven by an uptick in convention demand in the first quarter. Although, this strength is not expected to continue into the second and third quarter, we do see a significant pickup at the end of the year. Moving on to acquisitions. In the first quarter, we purchased two hotels with a total of 281 guest rooms for an aggregate purchase price of $60.2 million. Expanding our presence in Southern California, the Homewood Suites by Hilton located in Aliso Viejo near Laguna Beach was acquired for $38 million in March and has gotten off to a great start in 2017 just as expected. During the quarter, the hotel generated RevPAR nearly $150, which was more than a 30% premium to our existing portfolio and had a gross operating profit margin of nearly 50%. We also expanded our presence in the Phoenix market with the acquisition of Hyatt Place in the Mesa suburb of Phoenix for $22.2 million, or $146,000 per key. The hotel was acquired with solid in-place performance and a strong going in cap rate, which will continue to benefit from a variety of demand generators, including the Chicago Cubs Spring Training Stadium and just a few miles from the Oakland A’s Spring Training Stadium in addition to the numerous shopping, dining and entertainment options. During the quarter, the Hyatt Place delivered RevPAR growth of 7%, which exceeded the overall Phoenix MSA by 300 basis points. As a whole, our six hotels, currently classified as acquisition hotels, posted a very healthy 11.8% RevPAR growth for the quarter, led by the Homewood Suites, Aliso Viejo; Courtyard, Nashville; and Residence Inn, Atlanta Midtown. Their success validates our ability to identify and execute on high-quality acquisitions and demonstrates the quality and experience in many of today’s premium upscale hotels, which complete with both full-service and boutique hotels. The one asset we sold during the quarter was the Hyatt Place, Atlanta North, which is near the airport for $14.5 million, which resulted in the net gain of $4.8 million. Based on the net operating income for the trailing 12 months ended December 31, 2016, the sales price represents a 7.9% capitalization rate. Additionally, we are excited to announce that subsequent to quarter-end, we completed the sale of seven of the remaining eight properties to Hospitality Investors Trust for a total sales price of $66.8 million, or $102,500 per key. The transaction has taken a lot of patients and creativity to get to this point, including a seller financing component that allowed us to complete the transaction for an $3.8 million in interest income, it has now been fully repaid. Since the transaction to sell 26 hotels was announced in June, 2015, 25 of 26 hotels have been sold and the remaining hotels are scheduled to be sold in the second quarter of 2017. All of the net proceeds from disposition over the last two years have been fully redeployed in the high-quality, premium branded hotels that we believe are well-positioned to create long-term shareholder value. During the first quarter, we invested $8.3 million into our portfolio on items ranging from common space improvements to complete guestroom renovations, including furniture, soft goods, guest bathrooms, lobby upgrades and technology enhancements. Over the last five years, we have invested well over $200 million into our portfolio and the 75 hotels that we own today have an effective age of approximately 3.4 years, which demonstrates our commitment to maintaining a high-quality portfolio where guests want to stay. In addition to capital, we are investing in our existing portfolio, we are allocating capital to a development in Orlando, Florida on a parcel of land we’ve owned for quite a while. The 168-guestroom Hyatt House will be located adjacent to our existing Hyatt Place at Universal Studios, and we see this as more of an expansions of an existing successful hotel. The two brands will compliment each other nicely and we expect there to be top line opportunities that didn’t exist with just the one hotel, as well as efficiencies throughout the cost structure. To-date, we’ve invested approximately $5.1 million into the project, excluding land, anticipate investing another $17 million by year-end. At a project cost of approximately $30 million, or $179,000 per key, excluding land, we feel this is a very attractive entry point for a high-quality extended stay product in the market we’ve had great success in. With that, I’ll turn the call over to our CFO, Greg Dowell.
Greg Dowell: Thanks, Dan, and good morning, everyone. We were very pleased with our first quarter 2017 results. For the quarter, our pro forma hotel EBITDA came in at $43.9 million, which was in line with our expectations and slightly below the same period of 2016. As telegraphed on our last call, we expected to experience some margin headwinds primarily in the first-half of 2017, as a result of labor and wage pressure across the portfolio, property tax increases and the generally difficult comparison to the first-half of 2016. Pro forma hotel EBITDA margin contracted by 130 basis points to 36.5%, as expected. Property tax increases accounted for 50 basis points of the contraction, while the remaining 80 basis points of contraction was related to property operations. During the first quarter, adjusted EBITDA grew to $41.1 million, an increase of 0.3% over the same period of 2016. Moving on to our balance sheet. Our balance sheet continues to be well-positioned with minimal near-term maturities and liquidity of nearly $300 million as of today. At March 31, 2017, we had total outstanding debt of $718.9 million with a weighted average interest rate of 3.65%, which is inside the 3.76% weighted average interest rate we reported on March 31, 2016. We ended the quarter with net debts of trailing 12 month adjusted EBITDA of 3.9 times, which is a comfortable level based on our stated range of 3.5 to 4.5 times, down from what was 4.2 times at the end of the first quarter of 2016 and as of last Thursday’s dispositions now sits at 3.6 times. During the quarter, we repaid a $6.5 million mortgage loan in conjunction with the sale of the Hyatt Place, Atlanta that had a 2018 maturity date. As a result, only 1% of our total debt is scheduled to mature through 2018. As with April 21, we had total outstanding debt of approximately $678.3 million with a weighted average interest rate of 3.72%. Turning to our outlook for 2017. In our release, you will see that for the second quarter of 2017, we provided AFFO guidance of $0.38 to $0.40 per share, a pro forma RevPAR change of negative 1.5% to positive 0.5%, as same store RevPAR change of negative 2% to flat. As anticipated, the second quarter of 2017 will face the challenging comparison, as this portfolio of 75 hotels delivered 7.8% RevPAR growth during the second quarter of 2016 and will encounter headwinds associated with the shift in the Easter holiday, changes to the New Orleans convention calendar, and the closure of the Moscone Center in San Francisco. Despite a challenging second quarter, our full-year 2017 guidance for AFFO remains unchanged at $125.6 million to $133.1 million, or $1.34 to $1.42 per share and RevPAR growth of 0.5% to 2.5% for both our pro forma and same-store portfolios. Metrics supporting our guidance are provided in our release. We have incorporated capital improvements of $35 million to $45 million, which includes both renovation and recurring capital expenditures. Our adjusted FFO guidance for 2017 assumes the sale of the 90-guestroom Courtyard El Paso for $11.2 million in the second quarter. No additional acquisitions, dispositions or equity raises beyond those previously mentioned or assumed in the second quarter or full-year 2017 guidance. With that, I’ll turn the call back over to Dan.
Daniel Hansen: Thanks, Greg. In summary, we are very pleased with the performance of our portfolio and the continued focus by our team. Along with all the positive things happening across the portfolio, I would like to take a quick moment to publicly welcome Jon Stanner. Jon joined our senior leadership team last month as Executive Vice President and Chief Investment Officer and will be integral in our investment, acquisition and capital markets strategy going forward. I’ve known Jon for quite sometime now and continued to be impressed with his extensive knowledge and experience in the public markets and overall lodging industry. With Jon aboard and an excellent opportunities set that lies ahead, we look forward to the remainder of 2017. And with that, we’ll open the call to your questions.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Austin Wurschmidt from KeyBanc Capital. Your question please.
Austin Wurschmidt: Hey, good morning, guys, and thanks for taking the questions. Just want to touch a little bit on guidance first and – with second quarter, RevPAR growth expected to be down, it implies some reacceleration in the back-half of the year, I know you had some difficult comps in certain markets like Denver and many in the third quarter and then Portland and Nashville into the fourth quarter. So I was wondering, if you could provide some details as to what gives you the confidence in this environment, or what markets you would expect to drive that reacceleration in the back-half of the year to achieve the full-year guidance?
GregDowell: Sure. I’ll go ahead and give the answer to your first-half of the question and then Dan can jump down on the second-half. Like we mentioned, visibility is somewhat limited, but early indicators on that back-half are good. We do want to make everyone aware, remind everyone that we are guiding in anticipation of a disposition in the second quarter, the sale of the Courtyard El Paso for $11.2 million. RevPAR growth is going to be challenged in the second quarter, given that 7.8% to the portfolio delivered last year, and then we mentioned Easter and New Orleans and San Francisco, the Moscone Center there. But despite those Q2 challenges, the strength in the back-half is what allowed us to really maintain that full-year guidance on market specifics. Dan can...
DanielHansen: Yes, Austin, I think the one that would probably stick out is New Orleans. I think, the New Orleans performance based on the convention calendar is kind of book ended this year, first and fourth quarter Beyond that, easier comps and continued success from the new hotels we bought, the renovations, I think broadly will – gave us the confidence to maintain our guidance.
Austin Wurschmidt: Great. Thanks for the detail there. And then just want to touch a little bit. I was hoping you could provide maybe a little bit more detail on the development announcement and what you expect in terms of timing of completion and stabilization as well as how you think about the return on that development versus an acquisition and any additional, I guess, return above and beyond for the incremental risk and development?
Daniel Hansen: Yes, at this point, the – we expect the project to be completed in August of 2018, so timing, we think there would be very good. Obviously, we are not trying to time the market. As I said in the prepared comments, we see this more as an expansion of our Hyatt Place that will benefit alongside the new development of the Hyatt House. The Universal Studios is growing and so are several of the demand generators in the market. So if we look at how we invest whether it’s acquisitions or development, I think everything is – every dollar we invest is targeted to have a double-digit unlevered IRR, an acquisition expansion or development certainly do have some additional risks, so we’d expect a little more. So I think it’s fair to expect the Hyatt House to have returns in excess of the based expectations. But yes, we feel incredibly positive about the project and the opportunity to grow in that market.
Austin Wurschmidt: Thanks for that. And then just curious a little bit, if you could provide some color on the acquisition market, clearly, the acquisition properties have been outperformers for you guys as you kind of drive some of the efficiencies in those properties. So just curious what you are seeing in terms of investment opportunities today?
Daniel Hansen: We have had some success recently identifying opportunities that meet our criteria, which is promising. We haven’t seen cap rates to move much though. We are still seeing opportunities around forward 8% cap. And what we do find, which is exciting for us is value creation opportunities in those acquisition. Craig and his team have been successful over the years with thoughtful renovations and operational and revenue management strategies to drive out performance. So I think there is definitely some opportunities for us.
Austin Wurschmidt: Great. Thanks for the time.
Daniel Hansen: Thanks, Austin.
Operator: Thank you. Our next question comes from the line of Shaun Kelley from Bank of America. Your question please.
Shaun Kelley: Hey, good morning, guys, and my welcome on to Jon as well. So Dan, maybe you could just start with a high-level one, which is, we look at the upscale, chain scale segment this quarter across STR, it was one of the weakest, if not, the weakest of the chain scales that we saw out there. I’m just kind of curious, do you think there is any specific reason for that underperformance in the quarter? And this is, I know, it’s broad theme, not just for your portfolio that you saw some of the deceleration too. But just kind of curious like your view on in the broader segment performance?
Daniel Hansen: It’s a tough question, I’ll answer it as best as I can. We obviously watch each of markets, the chain scales closely, upscale and upper upscale predominantly. We are finding our higher-quality acquisitions compete very well with the upper upscale segment and that that line continues to be blurred. So while the upscale segment is fairly open, I think there is a real bifurcation between higher-quality upscale and the more traditional upscale. I think you see a lot of the new developments competing at a level that rivals that of the boutique and many upper upscale hotels. So we’re continuing to shift our portfolio into those markets, where we think we can compete outside of that traditional upscale segment. So as you’ve seen our performance, outperforming the upscale segment, I think that to us is an indication that we’ve identified the right markets, the right brands and compete very nicely. So to me, I think, there is a real bifurcation within the upscale segment and there certainly are some that have underperformance – some market that have underperformed as well. So I don’t know if that is tough.
Shaun Kelley: Yes, that’s great. And then maybe just shift to supply side, it’s always a little bit harder for us to monitor in the broader geographies that you guys compete on. So just what are you seeing right now in terms of newbuilds and new developments, I mean we see some pretty healthy pipeline statistics in some of the lower price point brands, but it’s – but to your point, it can be all over, right? There is stuff that’s even down in the mid-scale that’s starting to get built now. So kind of just what’s your general take on in the supply environment for the upscale type of hotel that you are seeing in your markets?
Daniel Hansen: Yes, for our markets, I mean, as a whole, if you look at our whole portfolio, we’re probably between 3% and 4% supply. But that’s actually pretty heavily weighted between just a few markets, Austin, Boulder, Asheville. So if you look more broad-based, I think our portfolio is probably more in line with the 2% growth for the industry, and the most of the supply is upscale. And we’ve talked about this on prior calls. Those are – they are easier to build. They are located closer to today’s demand generators. And it is something that is growing and competing very nicely. So I think the risk, as we see it in many of these markets is with the older full-service hotels as opposed to the newer upscale hotels, which offer many other things that guests want, but avoid the things that they don’t need.
Shaun Kelley: Thank you very much.
Daniel Hansen: Thanks, Shaun.
Operator: Thank you. Your next question comes from the line of Ryan Meliker from Canaccord Genuity. Your question please.
Ryan Meliker: Hey, good morning, guys. Just a couple of them. First of all to piggyback off of what Austin had said, if you look at the RevPAR guidance, obviously, it’s back-half weighted. You gave some good colors surrounding New Orleans as being driver of your confidence there. I’m just wondering, how much visibility do you guys really have in the back-half that gives you confidence that we’re a part of pressure portfolio, we’ll reaccelerate, I mean you mentioned a few different things, but do you have that much on the books, or is it just that where comps are and you know what’s happening in your market, so you feel good?
Daniel Hansen: Ryan, this is Dan. I think it’s more of the latter. Our team has been terrific in forecasting in what is probably one of the most challenging environment. So it’s not – nothing has changed with our ability to have greater visibility. Although, we do continue to look at group pace in the markets where that’s relevant. The competition – we look closely at each of our hotels and how they’ve grown market share during the challenging environment. So we always feel good about the back-half of the year. But most of that is the result of having a great operational and revenue management team and confidence in our forecasting as we’ve been able to consistently hit our numbers during this challenging time.
Ryan Meliker: Okay, that’s really helpful. And then the second question I wanted to ask was, we talked a little bit about acquisitions already. Right now it seems like your cost of capital is pretty strong, certainly relative to other of your reap years and probably the private equity as well. Are you looking to get more aggressive on the acquisition front, less aggressive on the acquisition front? Are you looking at more portfolio deals? Is the plan to try to take advantage of that cost of capital advantage while you have it?
Daniel Hansen: Yes, sure, I think, we are not going to do a deal that doesn’t meet our underwriting criteria. We’ve had plenty of opportunities to raise capital over the last several years. We’ve largely funded our new growth with dispositions. I wouldn’t say we’d be more or less aggressive, but we are always active. So for the right opportunities, as you’ve seen over the last year, we are not opposed to buying higher-quality acquisitions with the good growth profile. As it would relate to becoming more aggressive, if we were to do – find acquisitions that were outside of the current capacity, an equity raise could be used and it obviously would be centered around an unidentified acquisition or two and certainly, something that we’d have to have a strong confidence in the pipeline. We’ve had success match funding identified actions within 60, 90 days in the past and you’d expect that to be the case.
Ryan Meliker: Okay. And you guys obviously have been active picking off an asset here and there. Are you seeing more assets today that fit those underwriting criteria that you just mentioned. You’d stay disciplined on, or as it kind of more in the same steady as it goes?
Daniel Hansen: It’s pretty steady. I mean, out phones aren’t just ringing. We’re spending a lot of time at conferences meeting with owners, and clawing and scratching to find opportunities. But we are seeing some high-quality acquisitions. I think, it’s a real validation of the upscale space, because our values have been relatively strong. There is a high amount of demand, which means that we have to find opportunities beyond just going in cap rate to provide our – to meet our underwriting criteria.
Ryan Meliker: All right. That’s helpful. That’s it for me. Thanks, Dan.
Daniel Hansen: Thanks, Ryan.
Operator: Thank you. Our next question comes from the line of Michael Bellisario from Baird. Your question please.
Michael Bellisario: Good morning, everyone.
Daniel Hansen: Good morning.
Greg Dowell: Good morning.
Michael Bellisario: I just wanted to circle back on the Orlando deal, bigger picture question. How does development more broadly fit into your capital allocation and acquisition strategy? And may be should we read into this that the acquisition pipeline is still not that deep where you’re looking to deploy capital in more creative ways?
Daniel Hansen: No, I – this is Dan. I wouldn’t look at it anything different than on opportunistic – a way for us to create value. People may have forgotten, but we’ve developed in over 50 hotels prior to going public. So that’s a competency that’s very strong with our team. But it is a small part of our business and more opportunistic. So definitely not a change in overall focus. If you recall, we did buy the Hampton Inn & Suites in Minneapolis at certificate of occupancy and our team oversaw that. I think the difference with the Hyatt House is, we are not paying a contractor developer fee and that will just go to shareholders. So, we structured it the same with the guaranteed maximum price contract and oversight for our team – or by our team. So we feel strongly about the project.
Michael Bellisario: Kind of a tough one that $30 million figure you mentioned, is that the guaranteed maximum price, I suppose? What’s the potential risks to pricing there as we think about the impact to our model?
Daniel Hansen: Yes, I think the risk to that pricing really is, if we decide to change anything along the way. But yes, that’s the price for construction of the – not including land.
Michael Bellisario: Got it. And then switching gears a little bit on the acquisition front. I think it’s probably maybe a little bit harder one to answer. But first, your outperformance at your recent acquisitions has been stronger than the same-store portfolio. Any maybe qualitative metrics around how those hotels are doing in year two and years three beyond just that first-year outperformance?
Daniel Hansen: That’s actually a fair question. I think when you look at an acquisition that strong full-year – first-year outperformance is just part of the component of the total return. Many of them need a renovation. So we tend to have a multi-year growth profile once we purchase them. So generally, there is a market like the Chicago Hyatt Place that was fairly new. So there is – we’d expect more of a steady state of growth there. But a couple of the assets we bought prior-year, such as the Courtyard Nashville will go through renovation, so we’d expect further growth. So I think it’s a case-by-case basis and that’s the part of the underwriting that we put when we go through the initial part of our due diligence.
Michael Bellisario: Got it. And then last one from me. How would you characterize your revenue management strategy today and is it still fairly – a fairly defensive approach for you guys across the portfolio?
Daniel Hansen: That’s something we spent a lot of time on. Internally, we have three revenue managers now. And I think there are markets that clearly were very defensive in. But I can also say that there is markets that where we’ve been very much offensive. Some of the newer acquisitions that we’ve changed strategies and worked on fixing the mix have been, I think, incredibly successful. So I think it, again, that’s one of the items that I think separates us from others is that, we have a very focused operations and revenue management team that looks asset by asset and focuses on building a strategy specific for not just the asset but for the market.
Michael Bellisario: Thanks. That’s all for me.
Operator: Thank you. Our next question come from the line of Tyler Batory from Janney Capital. Your question please.
Tyler Batory: Great. Thanks for taking my questions. Dan, can you just talk a little bit about corporate travel here. What you’re seeing, maybe how corporate travel came in for the fourth quarter compared – or the first quarter compared with your expectations?
Daniel Hansen: A little bit better than expectations. But I wouldn’t say that we’ve seen an acceleration that would change our outlook. But yes, we were very confident in seeing that things came in as expected generally.
Tyler Batory: Okay, great. And then just maybe a follow-up on the guidance. There’s a lot to talk about volatility out there, obviously, the lack of visibility. Is that maybe gotten a little bit better over the past couple of months, or is it really just the same as it was bad over the last year or so?
Daniel Hansen: It’s just about the same. We’ve never been blessed with a great visibility, because we tend not to have as much group business. But we’ve always been able to have a keen look into each of our individual markets. And with our teams on the ground would feel very comfortable inside of the quarter with our guidance.
Tyler Batory: Okay, great. That’s all for me. Thanks.
Daniel Hansen: Thanks.
Operator: Thank you. Our next question come from the line of Neil Malkin from RBC Capital Markets. Your question please.
Neil Malkin: Hey, guys, good morning.
Daniel Hansen: Good morning.
Neil Malkin: I noticed that you guys had some other ran on your balance sheet. I’m wondering if you have similar opportunities to deploy capital for developments in other markets, where you have sort of those top and bottom line synergies?
Daniel Hansen: There’s a few parcels that are more restaurant pad and out parcels that we’ve held. I don’t see anything on our balance sheet remaining that would be an – or a development opportunity. We do have a site in San Antonio that we’ve never felt comfortable with. It’s a good site, but it’s just not consistent with our growth profile. So I wouldn’t expect any of our remaining land parcels to be part of the pipeline going forward. The pipeline that we see today is really building on more acquisitions that we’re starting to see through our efforts out there.
Neil Malkin: Okay, great. And then on the operation side early indications seems like the Marriott/Starwood merger starting to yield some fruit in terms of maybe lower of JAPs [ph] or some cost savings on goods for the rooms and such. Are you starting to see that, or is it still too soon?
Daniel Hansen: I think it’s a little too soon. I mean, we’re optimistic that the synergies and scale will allow the combined company to help drive value down to the ownership side, but I think it’s a little bit too early to tell.
Neil Malkin: Okay, great. And then as someone mentioned this earlier, but as far as business travel goes, are you seeing any indications from some of your larger clients that maybe some traveling is getting back? This is the pace of booking, I know it’s short-term in nature, getting any more robust, or you think it’s again still too soon to make that call. I guess, how are you guys feeling on that property level?
Daniel Hansen: I think each one is a little bit different. But as a whole, I know we think it’s pretty stable. We’ve talked several – through several other questions about confidence in the back-half of the year. And clearly, we wouldn’t have that level of confidence if we thought there was risk. I think we settled into a state, where business travel is consistent. And I think with our catalysts here and there, I think there’s certainly the possibility that we could see some reacceleration. But as of yet, we would just define the market I think as stable.
Neil Malkin: Okay, great. Thank you, guys.
Daniel Hansen: Thank you.
Operator: Thank you. Our next question comes from the line of Bill Crow from Raymond James. Your question. Please.
Bill Crow: Hey, good morning, guys. Dan, on the development, just one last question on that perhaps. Did you have any brand options in that property, where you’re relocked into a Hyatt brand, given the purchase of the land and the other hotel?
Daniel Hansen: It’s good question, Bill. We actually did have some brand options. And as you would expect, the Orlando market is very competitive. So there were very limited brands available. But we felt the synergies with the two brands really got us very comfortable as that Hyatt’s have been a great partner with us since we purchased those hotels. And so to have the two brands together with the synergies really felt like the best combination.
Bill Crow: And did they provide any incentives?
Daniel Hansen: Yes, we’ve got a little bit of help on ramping the fees going in and they were obviously very flexible in the design of the hotel. Greg and our development team designed the hotel to really take advantage of opportunities specific to that market in both design and feel. We’re putting in a nice resort-style pool, so we can draw different guests and groups in that way. So I think it was a great way to create value with Hyatt and their flexibility was that of a true partner.
Bill Crow: Great. When you say that the whole Moscone Center challenge is going to impact your result. Just thinking about your portfolio, you’ve got the airport Four Points and you’ve got the Holiday Inn Express, Fisherman’s Wharf. When I think about Fisherman’s Wharf and that asset, I think about more leisure-driven business and maybe not as impacted by Moscone. And I’m not sure if I see the direct relationship necessarily between Moscone and the airport hotel, but maybe you could talk about the impact that you anticipate, how it’s related to Moscone?
Daniel Hansen: Yes, that’s fair. We wouldn’t see as negative affect as may be those centered around Moscone Center. But the compression nights – the lack of compression nights which are pushing demand out to the airport properties and may be a little bit the Fisherman’s Wharf does have an affect albeit smaller. So not quite as negative affect, but as the whole market suffers from the lack of compression eyes, there is a little bit of affect for us.
Bill Crow: And how does the summer leisure season look at the Fisherman’s Wharf?
Daniel Hansen: It looks strong. We’re not seeing anything that would give us great concern. I mean, the International travel is always a little bit of question mark. We tend not to get as much advance bookings as some of the larger hotels. But at this point, it looks to be solid.
Bill Crow: Okay. And finally from me, from a capital allocation point of view, would you – you kind of rank it acquisitions first, maybe thus landing second, development third, or is that a fair way to think about how you’re looking to prioritize?
Daniel Hansen: I think we would look at it, clearly acquisitions first. I think that’s been the – we’ve shown that’s the greatest way for us to create value and we spend the majority of our time doing that. Where there are opportunities for outsized returns as a small part of our focus, we would look at some of the mezz loans with an option to buy at the certificate of occupancy and one-off development like we found with the extra land parcel. But predominantly still grow through the acquisitions, which as we talked about, we are starting to see our pipeline built.
Bill Crow: All right. That’s it for me. Thank you.
Daniel Hansen: Thanks, Bill.
Operator: Thank you. Our next question is a follow-up from the line off Austin Wurschmidt from KeyBanc Capital. Your question please.
Austin Wurschmidt: Hey, guys. Just had one quick one for Jon, if he was available for a quick question. I was just curious to hear your view about what kind of the opportunity or value proposition you saw in joining a select-service platform and Summit in particular, given sort of your prior life in the luxury hotel business?
Jonathan Stanner: Sure, Austin, thanks for the question. Look, I think that I’m also believer in the model. I’ve had an opportunity to get to know Dan over the course of last five or six years, I guess. And I’ve learned a little bit about the business model over the years, that is obviously different from the background that I came to. And I’ve only been here three weeks, so I can’t say that I’m an expert yet. But I’m a believer. I’m more of a believer today than when I walked in. And so, obviously, I think, the margins are much higher as everyone knows. But I just think the overall return on your investment is higher in this segment. So I think it’s a good place to be. I think it’s a great company. I think there’s great team here. And I’m spending time with Greg and his team. I think, they’re just doing a tremendous job. So I’m excited to be here and I think it’s great business model.
Austin Wurschmidt: Great. Thanks for the time.
Operator: Thank you. Our next question comes from the line of Chris Woronka from Deutsche Bank. Your question please.
Chris Woronka: Hey, good morning, guys. Dan, I want to ask you, as you guys kind of scrub your markets for supply. How – are you looking at kind of net rooms, or do you also look at maybe supply that wasn’t previously competitive? Maybe its going to a soft brand or something like that. And you know it’s not a net increase in rooms, it could be more competitive and kind of getting at, we are seeing the brands continue to proliferate – the soft brands. I’m just curious whether you think that ever has any impact on your portfolio?
Daniel Hansen: Actually, we do look at that and clearly, it does depending upon the asset and the market. For market like Austin, where we have Hampton Inn & Suites, it competes with full-service hotels, boutique hotels along with the typical upscale hotel. I mean, you and I both didn’t see that hotel and you can see when you walk in. There is sense of Austin with guitars on the wall and a place for live music upstairs. So that entrance and sense of arrival is something that’s very authentic. So when you take a brand whether it’s upscale or upper upscale or boutique and can integrate some of the authenticity of the city and the location, I think, you have to look at that as a hotel that competes maybe above where its chain scale is. So maybe little bit too long of answer. But yes, we definitely look at the brands as upscale continues to challenge some of the boutique and soft brands. We look at those as competition and quite frankly opportunities to earn market share.
Chris Woronka: That’s great color, Dan. And then just a follow-up to that is on the – we’ve talked a lot over the years about kind of industry adolescence, and just curious if your perspective is to whether the industry is making any progress on that even if it’s slow progress?
Daniel Hansen: We tend to try to avoid some of the areas and brands that have continued to become less relevant. I think today’s guest whether they’re, you call them a millennial or a next-generation traveler is very much focused on quality. As I said in the last question a sense of authenticity, and that’s not cheap. So I think where we are competing is with the higher-end hotels, and in both upscale and upper upscale. And I think those hotels that are unwilling or unable to invest in their hotels will continue to lose market share and have to compete on price. So we’ve taken the focus of competing on quality. And so far, as we’ve been able to show on our numbers, it’s proven now.
Chris Woronka: Okay, very good. Thanks, Dan.
Daniel Hansen: Thanks, Chris.
Operator: Thank you. This does conclude the question-and-answer session of today’s program. I’d like to hand the program over to Dan Hansen, Chairman, President and Chief Financial Officer for any further remarks.
Daniel Hansen: Thank you all for joining us today. We continue to see opportunities to create value for shareholders through thoughtful capital allocation and a premium of select-service hotels, which today’s guests love. Our renovated properties and operational expertise continue to deliver strong results. Have a terrific day and look forward to talking in next quarter.
Operator: Thank you, ladies and gentlemen, for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.